Christophe Barnini: Thank you. Good morning and good afternoon, ladies and gentlemen. Welcome to this presentation of CGG's First Quarter 2022 Results. The call today is hosted from Paris where Mrs. Sophie Zurquiyah, our Chief Executive Officer; and Mr. Yuri Baidoukov our Group CFO will provide an overview of the quarter results, as well as provide comments on our outlook. Let me remind you that some of the information contains forward-looking statements, subject to risks and uncertainties that may change at any time and therefore the actual results may differ materially from those that were expected. Following the overview of the quarter, we will be pleased to take your questions. And now, I will turn the call over to Sophie.
Sophie Zurquiyah: Thank you, Christophe. And good morning, good afternoon ladies and gentlemen and thank you for participating in this Q1 2022 conference call. We'll move to slide five now. And let me start with some general comments on the evolution of our businesses and market environment during the quarter. Overall, Q1 was a slow start of the year, with significant differences among our three business lines. Geoscience revenue was $75 million, up 36% year-on-year pro forma. Our Geoscience parameter no longer included GeoSoftware and the physical asset storage business of smart data solutions, which we disposed of last year and we will present year-on-year pro forma revenue comparisons to best show the underlying business performance. Geoscience performed very well this quarter and continues to see steadily increasing activity. The level of bidding activity is up 51% year-on-year and the level of commercial bid spending was at $347 million early April, compared to $209 million early December 2021. Earth Data, which is our renamed multi-client business, as we continue to expand the data types that we sell, Earth Data was in line with our expectations and up year-on-year, with a typical low Q1 prefunding revenue, but stable year-on-year with stable CapEx. As you know the prefunding ratio is usually low at the beginning of the year and increases through the quarters. We expect to see the same trends in 2022. The positive news is that Q1 after-sales increased 56% year-on-year, which confirmed our view of seeing after-sales continuing to strengthen as the year progresses. As expected and highlighted, during our Q4 conference call, Sensing and Monitoring which is the new name of Equipment business, as we continue to grow into new markets, had a low quarter in a business that tends to be lumpy and is increasingly driven by significant orders. In addition, some sales this quarter shifted to later in the year. Large tenders in Saudi Arabia for Land and OBN are positive signals for an active second half of the year and 2023. Overall, our Q1 revenue of $153 million was down 24% year-on-year pro forma, with contrasting dynamics between the business lines. Data, digital and energy transition was up 34% year-on-year pro forma, whilst SMO, Sensing and Monitoring, was down 70% year-on-year. Segment EBITDA and adjusted segment EBITDA was $39 million, a 25% margin and up 31% year-on-year. Net cash flow was $68 million, including $90 million positive change in working capital. Our core markets continue to recover, signaled by increasing commercial discussions with our clients and bids. We operate today in a favorable cycle, driven by the need to replace depleting oil and gas reserves, with a focus on short cycle exploration. We're seeing also more consistent requests from energy companies to better understand the subsurface for their energy transition programs. We move to slide seven now. DDE segment revenue was solid this quarter at $119 million, up 34% year-on-year pro forma, with growth in both Geoscience and Earth Data. DDE's business dynamics have historically been strongly correlated with E&P spend and this is what we're experiencing in Q1, 2022. Profitably significantly increased with a fall-through at 90% on incremental revenue. Now on slide eight. Geoscience revenue excludes revenue from GeoSoftware and the Physical Assets business of smart data solutions that we divested in 2021. Geoscience's external revenue was $75 million in Q1, up 36% year-on-year pro forma, with growth mainly coming from North America and EME. Year-on-year backlog was slightly down, which is related to the decreasing average size of the projects and does not reflect yet the rapidly growing commercial activity that we see. Several clients are now concerned about being able to access processing capacity for the upcoming needs and rightfully so, as we will --- it will take some time to recruit people. The total production per head KPI continues to improve, as we're achieving the full effect of cost reductions, combined with improving utilization of our resources. And to support our growth perspective in our core businesses and the development of our Beyond the Core businesses particularly high-performance computing, CGG recently signed a lease to build a new European HPC hub in Southeast England, that will become operational in the first half of 2023 and increase our cloud HPC capacity by 50 petaflop initially and up to 100 petaflops as required. Going into Slide 9. In Geoscience, our technology differentiation continues to make significant impact in our market position. We have been recently awarded several large projects where our Elastic full-waveform inversion imaging technology was viewed as unique in the industry. In fact, these advanced algorithms contain more accurate physics and provide striking improvements in sub-salt imaging. They enabled our clients to access a much clearer view and understanding of previously imaged reservoirs. As an example here, the image on the lower right shows much more distinctly the continuity of the various layers below the salt and will substantially improve the interpretation of this area. The client recently mentioned how this technology enabled them to identify an extra 500,000 barrels of oil. Geoscience activity has picked up starting with North America and more recently Europe, with a few of our imaging centers running at near full capacity already in early May. We are encouraged by the high level of commercial activity, which will drive improvements in other parts of the world. We also continue to develop and promote our Beyond the Core businesses. And this quarter we launched TailingsPulse a smart mine monitoring solution for structural integrity. We released new GeoVerse studies products from our Earth Data library from lithium brine, geothermal resource evaluation and carbon storage identification all leveraging our geology capabilities and historical geological database. We signed strategic partnerships including one with Kent, another with Carbon Management Canada and a third with GCE Ocean Technologies cluster. Our aim is to be the partner of choice for subsurface understanding and monitoring for the energy transition. Slide 10. We'd like to continue to introduce you to our Beyond the Core businesses. And this quarter, we will highlight our data hub offering. During the last few years building on our digital data management and subsurface expertise, CGG put considerable efforts towards building a unique data ecosystem that enables our clients to effectively invest, classify, access, visualize and utilize the diverse data sets they need to optimize their subsurface understandings both for the oil and gas portfolios and for the energy transition. It is very different from the analytic solutions offered by the hyperscale cloud providers, because we use a geologic taxonomy and ontology that we have developed over the last 45 years. This allows clients to digitally associate the diverse data sets geologically, including their own data and data from other vendors in a meaningful way. This offer is typically provided as a service. And we conservatively see the market to be at a few hundred million dollars per year in the short-term given the amount of subsurface data that our clients manage. For clients that wish to move their data to the cloud, we can also leverage our CGG HPC cloud and data as a service offering. In summary, data hub offers digitalization services that create robust, integrated and structured subsurface data sets or modules, which enable users to efficiently discover, access and utilize all their data in order to overcome subsurface challenges and reduce cycle time. We have just been verbally awarded a significant multi-million dollar contract to perform this type of work over a period of 18 to 24 months for a super major. We'll move to Earth Data now. Earth Data sales were $44 million, up 28% year-on-year. Cash CapEx of $33 million this quarter was stable year-on-year. We started a Marine program offshore Brazil that represented a significant portion of our CapEx. Our pre-funding revenue of $15 million was stable year-on-year and pre-funding is typically low in the first half of the year and builds throughout the second half. After-sales were stronger this quarter at $30 million, up 56% year-on-year sustained by the U.S. NOC. Now on Slide 12. In Brazil, after the completion of the vast and successful Nebula program we started Antares located in the South Santos Basin. With good weather and fewer mammal interruptions, the Antares acquisition has been very productive so far. The new data will provide a second azimuth with a longer offset to improve images of the pre-salt. Nebula A processing is now complete and we have conferred that the dual-azimuth data provides significant improved -- image improvement. In the U.S. GoM, our reimaging projects continue to draw pre-funding and we began the reprocessing of our large StagSeis Deux program with solid pre-funding. In the North Sea, we just started our 2022 summer campaign and secured significant pre-funding from different clients for our North Viking Graben East-West program. We're adding 1,800 sparse nodes to this 9,000 square kilometer streamer program. This will create hybrid node-streamer data to better invert for subsurface velocity and thus improve the identification of target structures supporting the search for short cycle new step-out exploration opportunities. And finally, our GeoVerse geology and well data library is now fully accessible as a service and we have closed several commercial projects. Now on Slide 13. In support of energy transition, we carried out screening studies for geothermal energy and geothermal lithium brine. These data-rich studies capitalize on CGG's wealth of geoscience data know-how and data science expertise and they address a wide spectrum of application from geothermal resource assessment through critical mineral exploration to carbon sequestration. These are just a few examples of the vast amount of geologic and geophysical data available through our GeoVerse platform that can be used to explore for oil and gas, explore for the various minerals necessarily for the energy transition and may even be used to search for geothermal opportunities by looking for favorable gradients and anomalies. The data includes over 550,000 quality control data points and viewing and selection of the data is made easy in the GeoVerse platform. We'll now move to Sensing and Monitoring. Slide 14. Our Sensing and Monitoring segment revenue was low this quarter at $34 million, down 70% year-on-year. While the SMO business is lumpy in nature based on large acquisition programs globally and we had a strong Q1 in 2021 based on year-end 2020 mega-crew sales, revenue was lower than expected this quarter as some sales of land equipment shifted to later in the year. Marine sales continue to be limited to repair and maintenance. And this year, beyond the Core activities are supported by a very active defense sector and will increase through the year. At this level of sales, the EBITDA of the Sensing and Monitoring business was negative at minus $12 million, a limited loss is such a low level of revenue. We have evaluated the full impact of the Russia sanctions to be around $35 million for the full year, which could be partially offset depending on the timing of large mega-crews in the Middle East. Based on the growing visibility of these opportunities in the second half of the year, we remain confident in the full year SMO performance. Now moving on to Slide 16. During the quarter in Land, we delivered equipment to Brazil and India. Marine was particularly slow, but we see significant potential for our GPR300 node, marine node in the second half of the year and are preparing for these opportunities. In summary, following the slow Q1, we anticipate an acceleration of the Sensing and Monitoring business in the second half of the year driven notably by the confirmation of several tenders for large land seismic mega-crews and OBN mega-crews in Saudi Arabia with equipment deliveries at the end of 2022 and early 2023. I'll now give the floor to Yuri for more financial highlights.
Yuri Baidoukov: Thank you, Sophie. Good morning, and good afternoon, ladies and gentlemen. I will comment the Q1 2022 financial results. Slide 17, Q1 2022. Let me first comment on the overall Q1 activity which was different across our businesses. Segment revenue was $153 million, down 24% pro forma excluding GeoSoftware and physical data storage businesses that we sold in 2021 and down 28% year-on-year. It was a low quarter as anticipated with lower-than-expected revenue in Sensing and Monitoring executing. However, revenue in digital data and energy transition ex-GGR was up 34% pro forma and up 19% year-on-year. The respective contributions from the group's businesses were 49% from Geoscience, 29% from Earth Data, 78% from the DDE segment and 22% from Sensing and Monitoring segments. We anticipate 2022 quarterly sales pattern with sequential acceleration, especially in the second half of the year. Segment EBITDA and adjusted segment EBITDA was $39 million, up 19% year-on-year, a 25% margin. Segment operating loss was $5 million and adjusted segment operating loss was $4 million. IFRS 15 adjustment at operating income level was plus $16 million and IFRS operating income after IFRS 15 adjustment was $11 million. After cost of debt of $26 million, other financial income of $7 million, taxes of $9 million and net loss from discontinuing operations of $2 million, group net loss was $19 million this quarter. Looking at simplified cash flow on Slide 18. Q1 2022 segment free cash flow was $86 million after $90 million positive change in working capital on high collections of strong Q4 revenues, partially offset by growing inventories in Sensing and Monitoring and $42 million CapEx. Q1 2022 CapEx was flat year-on-year and included industrial CapEx of $4 million, research and development CapEx of $5 million and Earth Data cash CapEx of $33 million. Q1 2022 net cash flow was $68 million, after $13 million lease repayments zero paid cost of debt, $7 million CGG 2021 plan cash costs, and $2 million positive free cash flow from discontinued operations. In April, we completed the sale and leaseback of the Galileo headquarter building for a total amount of €59.25 million. And after the repayment of the remaining capital lease balance, the net proceeds were around $32 million. Moving to slide 19, group balance sheet and capital structure. At the end of March 2022, group liquidity amounted to $488 million, including $388 million of cash liquidity and $100 million of undrawn RCF. Group gross debt before IFRS 16 was $1.2 billion and net debt was $807 million. Group gross debt after IFRS 16 was $1.3 billion and net debt was $925 million. Our gross debt included $1.15 billion senior secured notes due in 2027; $2 million bank loans; $44 million other items mainly accrued interest; and $118 million lease liabilities. Capital employed was $1.92 billion, down $79 million from the end of December 2021. Net working capital after IFRS 15 was $145 million, down from $229 million at the end of December 2021, primarily driven by significant reduction in net accounts receivable on strong collections, lower deferred revenue liability from IFRS 15 and reduction in personnel liabilities, partially offset by growing inventories in Sensing and Monitoring. Goodwill was stable at $1.1 billion corresponding to 56% of total capital employed. Multi-Client library net book value after IFRS 15 was up at $407 million including $374 million of Marine and $33 million of land net book value. Non-current assets were at $378 million with $204 million of property plant and equipment, down $8 million from year-end 2021 and including $115 million of IFRS 16 right-of-use assets. And $90 million of other intangible assets stable from year-end 2021. Non-current liabilities were at $95 million, down $5 million from year-end 2021. And shareholders' equity was at $992 million including $43 million of minority interest mainly related to stamp duty. Now I hand the floor back to Sophie for an outlook for 2022 market environment and presentation of CGG's new Beyond the Core business, business perspectives and 2022 financial guidance.
Sophie Zurquiyah: Thank you Yuri. Now we're on slide 21. I believe we're entering a multiyear cycle of increasing investments in exploration and production, driven by the forecasted strong demand for energy, the natural depletion of reservoirs and the lack of past reserve replacement investments. The recent focus on energy security and possible reduction of supply from Russia are additional factors that will further drive and accelerate investments. In this context, energy companies will be required to replenish their exploration portfolios and accelerate time to production, all of which require high-quality equipment, data and imaging of the subsurface. We expect local regulators to push for more exploration activities as confirmed by recent resumptions of lease rounds in the UK, Brazil and the USA and also expect national oil companies to accelerate their development and production plans particularly in the Middle East, Norway and Brazil among other areas. We believe that CGG's clear technology differentiation will remain key and will drive and sustain our business growth. We also believe that our high technology will be needed in the context of carbon sequestration and storage to derisk these activities. Ocean bottom nodes are accelerating their market penetration and are becoming mainstream based on their ability to acquire the data needed for advanced processing to better image complex reservoirs. This will drive demand for our processing services as well as our Sercel marine nodes. In this context, we expect to see an acceleration across all of our activity in the second half of the year and into 2023. We should also see a strengthening of our Beyond the Core businesses supported by the focus on digital and high performance cloud computing. Based on the strengthening market throughout the year and the visibility we have at current on new opportunities, we expect to compensate the full impact of Russia on our Sensing and Monitoring business and reiterate and confirm our full -- 2022 full year financial objectives. Thank you for your interest and we're now ready to take your questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Jean-Luc Romain from CIC Market Solutions. Please ask your question.
Jean-Luc Romain: Hi. Good evening. I have a question on pricing. As you mentioned that processing centers sorry the processing centers are quite loaded for this year. Do you see an increase in pricing coming? That's the first question. And the second is about the potential that you see for CCUS. I understand [indiscernible] as mentioned a market of $1000 billion in the distant future. What would be the slice of that market for your sense?
Sophie Zurquiyah: Okay. Thank you, Jean-Luc and thanks for your question. You read the -- my comments, right. I mean we're at that point that we think we'll be able to start increasing prices as we are starting to be full. We're getting -- we're seeing more work coming our way than maybe perhaps we'll be able to handle. So we're at that point, that we think we can start increasing prices. Now the question will be testing the market to how much the market can absorb. And it varies a little bit, depending on regions. And we're definitely more, full in the U.S., Europe follows, and Asia is still a bit slow. The second question on CCUS, I guess, the first order of magnitude I would go for a similar percentage, as the E&P CapEx. If you remember, exploration and production CapEx seismic altogether represented somewhere around 5% of the whole. I think as a first guesstimate, you could take a similar percentage. Eventually, we'll need to do similar activities. We'll need to be doing analysis of the subsurface, analysis of the integrity of these reservoirs and there will be a component of monitoring as well overtime, which perhaps that component will even be more important than traditionally with our seismic methods. So yes, I mean, it's -- we're all trying to figure out what the right number is. But I would say if you take just a similar proportion as you would take for E&P CapEx, and make sure you take the same slice of it in the sense that, in CCUS you'll have all the elements around the carbon capture itself which I would exclude. Really it's about the whole identification of the reservoirs, the drilling of the wells and the exploitation and then the monitoring would be somewhat similar – equivalent, and equivalent to the E&P CapEx.
Jean-Luc Romain: Thank you.
Sophie Zurquiyah: Sure.
Operator: Thank you. Your next question comes from the line of Mick Pickup from Barclays. Please ask your question.
Mick Pickup: Hi. Good evening everybody. I wonder if you could just give me a bit more color on the change in attitude of your clients. I know you mentioned, step out exploration and production focus. I think another seismic way mentioned from here even coming back into the mix. So how quick is this change from your clients and how keen are they to get going? And I think the -- what is the magnitude of step change you're trying to get to?
Sophie Zurquiyah: So clearly -- I mean there are different kinds of clients, and that's why I always sort of discriminate. So first of all how are you, Mick? Thanks for your question. And yeah, we always discriminate between the types clients, because they behave a little bit different. So we started with the supermajors that are all announcing their fantastic results in Q1 they're all pretty much saying, they're keeping the course meaning, they're keeping the capital discipline. But what you might have heard them say too is that's going to be going towards the higher end of their guidance for E&P CapEx. So some of them are -- have small brackets and some others have larger brackets. So that's one element. So you're starting to see them lean on the higher side. supermajors are clearly driven first by anything that increases production in the short-term. It could be production enhancement identifying back pass reserves or step-out exploration. So anything that's short cycle is definitely the priority. Yet, some of them are clearly looking at the -- looking at frontier exploration not all of them, but some. And a good example -- a good data point for that are the results of TGS, right? They had a really good quarter and it was -- a lot of it was driven by frontier data. So that's that. Third the national oil companies clearly they're focused on -- they probably have a longer-term view. So you see them more heavily going into large seismic projects to understand the subsurface and develop their resources in the long run. So they are not as much into that short cycle but taking a longer-term view. And in the middle you have a wide range of more independent or private company. And it's a bit of a mixed bag. Some of them are behaving more like the supermajors kind of first prioritizing the short-cycle. But others are more I would say looking at exploration they're looking at longer-term development. So it's definitely -- we're starting to see a shift in the market. I think when the whole realization of energy, security, that the oil price is going to stay high that it's becoming the reality has happened too late after the budget cycles. And so we'll see really the sort of the increases start to translate into next year. Although, I would think supermajors will continue with the capital discipline.
Mick Pickup: Okay. And secondly you mentioned, the Middle East in the Equipment sector and saying that Middle East opportunities will offset some of the Russian impact. Are they incremental Middle East opportunities that have arisen since you last spoke to us? I see you remember the Equipment outlook was stable-ish this year as a starting point. So do you think the Middle East has got better than you thought it was going to be? Is that what you are trying to...
Sophie Zurquiyah: Absolutely. Absolutely. I didn't mention I did say at the time we did the budget and at the time we guided for the year, we didn't have visibility on any significant large mega-crew or sale. And we knew something could come in Saudi Arabia because they really are running at a low run rate of seismic acquisition if you look at historical data. So we knew there might be something coming but we did not know the magnitude. And right now what we've heard and it changes it at the margin is two Land mega-crews and then two or three OBN crews. The difference being is that there's clearly a focus as well on the offshore side of Middle East. And that's just the Saudi Arabia side but we're – definitely Algeria is picking up. We're having positive signal in Libya. And I wouldn't be surprised that we have other positive signals from other countries in the GCC areas. So definitely it's been an improvement. Now the timing of that is the bid is supposed to be out for Saudi anytime now. And our understanding is that they want the crews to start as early as possible in 2023, which would mean delivery sort of back-loaded in 2022 and early 2023. So a similar situation in a way as we experienced in 2020.
Mick Pickup: Thank you very much.
Operator: Thank you. Your next question comes from the line of Kevin Roger from Kepler. Please ask your question.
Kevin Roger: Yes. Good evening. Very sorry for the noise around. I hope you can hear me at least a bit, very sorry for that. Just coming back on what you said on Sercel and the Saudi opportunities, Sophie. You just said two mega-crews and three OBNs and if I understand that could be by the end of the year. Do we agree that the mega-crews is something like $50 million to $60 million opportunity? And what will be the contract value of OBN mega-crews also if you can mention that it will be great to understand the magnitude that you could see just in Saudi Arabia for the second half of the year? And the second question is related to the let's say Multi-Client activity and the current discussion that you have with the clients in terms of late sales. It seems that you mentioned that there is more and more interest commercial discussion with the clients et cetera. Can you give us a bit of magnitude of what you see notably for the Q2? For example, what you expect? What could be potentially reached considering the level of discussion that you have right now and the fact that it seems that you are a bit more confident than two months ago And the third one will be related to the cash position maybe for Yuri. So Q1 performance is quite good in terms of net cash flow. Q2 will be helped by the disposal of the offices in Massy. So can you also give us a bit of color of what we should expect in terms of net cash flow generation for the full year, please? And again, sorry for the noise around. 
Sophie Zurquiyah: Okay. Kevin I'll try to address all your questions. So you know very well the opportunities for mega-crew and the size is orders of magnitude that you're talking about let's say $50-ish million for Land mega-crew. And then $30 million to $40 million – $30 million to $50 million for an OBN crew. Now keep in mind, this is one size is the commercial. Now the second one is the ability to deliver. Now we live in a world that – I mean supply chain disruptions and long cycles of manufacturing. So basically the manufacturing plan we have we launched at the end of the year, we've procured everything. So in that sense we will not have any disruption we'll be able to deliver what we plan to deliver. But if all of a sudden something shows up that of very high magnitude we can't just turnaround and manufacture for it. So we'll be somewhat limited in what we can deliver this year and recognize in terms of revenue this year by our manufacturing plan and what we have in the pipeline. So we can clearly deliver I would say one OBN crew and probably one Land mega-crew but not a whole lot more than that. The rest would have to be coming into next year. 
Kevin Roger: But so it will mean that basically it's at least $80 million of revenue from Saudi Arabia this year. And for next year it's more than that basically? 
Sophie Zurquiyah: Which it's not – I mean I need to temper your calculation. Some of it was already sort of even though we didn't have identified specifically as Saudi mega-crew, there was some things that we were planning to sell already. So it's not all additional from our plan. So that's one. The second one, on the Multi-Client. Actually the comment I was making on the very active commercial interaction was more related to the Geoscience side. So clearly very active on that side. And there's a logic for it because it's very related to production development and production and immediate returns where multi-client still has of course with have a lot more of our surveys positioned in those mature areas and that activity continues there actually very much driven in the North Sea by those newer or smaller companies. But I would say, the late sale we have a little bit more visibility in some of the M&A-driven and transfer fee conversations. But I'd say, we have a slightly more positive view than when we gave our guidance a couple of months ago but it's not sort of so significantly improved, right? So I would -- at this point in time I would call it a moderate improved view on the after-sales. Yes. And maybe in terms of timing, we're thinking the transfer fee that's associated with the Woodside beach probably could materialize earlier than we planned in the second quarter. And that's just because the closing of the deal has been pushed forward by one month. So they actually do close the deal in the 1st of June, instead of 1st of July that could trigger that conversation earlier. But that's just a Q2 to Q3 shift. The -- and I'll let Yuri, talk about the cash flow. 
Yuri Baidoukov: So Kevin on the cash position basically as you see Q1 revenue is -- sorry yes, is obviously lower than Q4. Therefore, collections or the level of collections mechanically, if you want in Q2 will be naturally lower than that in Q1. You're right, that Q2 will be helped of course by the net proceeds from the Galileo sale leaseback. It's about $32 million but also the new schedule of payment of semiannual coupon on the bonds is now different. So we pay interest twice a year. So we pay on the 15th of April and 15th of October. And therefore Q2 and Q4, have this additional element of roughly $48 million to $50 million of interest payments in terms of cash outflow. So basically this is kind of the Q2 elements if you want to. 
Kevin Roger: But for the full year Yuri, would you say that considering the performance that you had in Q1 and the outlook that you have would you say that it's very likely that you will be net cash flow for 2022 full year? 
Yuri Baidoukov: Well, like always it will depend on what will be the level of receivables in December. So basically yes, in other words the timing of the sequence of revenue because again looking at the Equipment business as Sophie already mentioned, it's shaping up similar to 2020, right? So in other words with the year which is backloaded with mega-crews delivery starting in late Q4 and then of course basically yes collections of that but also additional revenue in Q1 of the following year. So basically that was again the usual elements. 
Sophie Zurquiyah: Perhaps Yuri, you can comment on outside working cap. 
Yuri Baidoukov: Yes. Yes. So the -- yes the working capital -- of course, the change in working capital was quite positive this quarter right at $90 million. So again it will depend again on where we land at the end of the year. 
Sophie Zurquiyah: But my point was Kevin is, I think the working capital is the part that in the equation that's difficult to gauge. But certainly, if we don't have like outside of significant effects of working cap yes we should be fine and be at that breakeven point. But where the difference can come from is a change in working cap. And if we end up having being very, very backloaded in terms of revenue, and having the inventory, and sales at year-end we could find ourselves in a similar situation as in 2020. 
Yuri Baidoukov: But that being said of course, our -- you know the guidance for our EBITDA and the guidance for our CapEx in other words of course EBITDA in line of CapEx will be quite positive here this year. 
Kevin Roger: Okay. Okay. Understood. Thanks for the call
Sophie Zurquiyah: Thank you.
Yuri Baidoukov: And also obviously a much lower level of kind of cash outflow from discontinued operations right, which is down to roughly about $20 million versus higher numbers a year before.
Kevin Roger: Okay. Interesting. Thanks.
Sophie Zurquiyah: Sure. Thank you.
Yuri Baidoukov: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Guillaume Delaby from Societe Generale. Please ask your question.
Guillaume Delaby: Yes. Good afternoon. Two questions if I may an easy one and a very, very tough one but it will be the second. So you will have time to prepare yourself. So, the first one basically is at -- I would like to relate what you said Sophie regarding net sales basically. So you are quite optimistic but less optimistic than for Geoscience. And also in the free cash flow equation for 2022 of course net sales could play a significant role in probably in Q4. So, if I can have some more comment on that is that of course you do not want to commit yourself and this is absolutely normal. But given what is happening now a good surprise for net sales beyond Q2, Q3, and in Q4 is possible. So what would you say? Any observation or whatever?
Sophie Zurquiyah: Yes. Thanks, good evening Guillaume. So, let me maybe qualify my comments on after-sales right? I'm very convinced it will do better than last year but last year was a fairly low point and a disappointment. So definitely I know that this year will be a lot stronger. Now, the question will it be a lot more than what we had guided or what we thought two months ago is the question I was answering to Kevin? And I think my view is a little bit better maybe a slight improvement from a couple of months ago but definitely a strong improvement from a year ago. And now Q4 is similar I would say as usual it's we'll have a view when we enter Q4 it's difficult to know. But of course if you look at macro elements they're all there to have a strong Q4 because of course oil price is high. Our clients are generating strong cash flows the perspective are good. And I would say one of the issues were of the kind of not seeing the E&P CapEx or the spending increase significantly a strong reactivity I would say in E&P changes is one what I mentioned that this is all happening way after the budget cycle. But I think it's the question mark of whether we are indeed entering a long cycle right? Because if you think this is short-lived the oil prices in the $100-plus just for a short period of time that's not going to drive significant exploration and exploration investments. And still Multi-Client is exposed to that exploration part of the budget. But I think that level of confidence that yes indeed we're entering a multiyear cycle the energy prices oil and gas prices will remain high for a significant future that the governments are sort of turning around and actually pushing companies now to explore again. All those are favorable elements that should be conducive for a strong Q4 in preparation post budget of our clients in preparation of 2023. So we did say that we always saw the acceleration being 2023 and that still is the case. It's kind of going to be a strong acceleration. And I'm just afraid that everybody will want everything in 2023. And then us as a service company and not just CGG but the whole ecosystem will have a hard time delivering what the clients want. So, I think it will be next year a bit of a problem of supply of services in our sector. 
Guillaume Delaby: Okay, that's really helpful. So now also a very nasty question of course that's a very nasty question is for 2023. So let's assume which is probably the more likely scenario that basically we are at the beginning of a multiyear cycle. So basically by 2023 in order basically to reimagine the CGG equity story what is your view regarding your balance sheet? Do you want to keep I would say on the status quo believing that organic free cash flow will be enough to deleverage the company or at least partially. Do you attempt to dispose some assets what is the rationale for keeping equipment sorry SMO, or would it make sense also maybe to make a rights issue a share price which is above the current share? So this is my nasty question. How can you help me?
Sophie Zurquiyah: Good. All right. That's not as nasty as that. But the -- I would say we need to ourselves gain confidence into the recovery of our core businesses which were gradually definitely seeing. So first of all, I want to see the core businesses pick-up. Then we also want to see before we -- first of all we're looking at all the options, right? But I want the core business just to go into that growth mode again. We need to put a bit more results under our belt on the Beyond the Core. We're starting to see I mentioned this verbal award for significant digital contracts. So that's good. And -- we'll make an announcement fairly shortly. You'll see more announcement come into other directions. So I want to see a bit more there and make sure I can bring confidence to the market and the fact that we'll be delivering in the Beyond the Core as well. And then in parallel in the back end we're looking at different options. What do we want to do? What do we want CGG to look like in the future? And those are all Board conversations that will tell you the answer when the time comes. And, of course, nothing is out of question including possible divestitures. The divestitures can come -- have to be at the right time and the right price. So we're looking at different options, but it's way too early to consider and talk about them. The rights issue, sorry, it was a question. So for now it's not -- we're not considering that as an option. 
Guillaume Delaby: Okay. [indiscernable] Sophie.
Sophie Zurquiyah: Thank you.
Operator: Thank you. Your next question comes from the line of Mr. [indiscernible]. Please ask your question.
Unidentified Analyst: Yes. Hi. Good evening. Thanks for taking my question. A question dedicated to Sensing and Monitoring business and deliveries which are scheduled during the next quarters. Is recent raw mat price increase or also tensions on the supply chain, but also on let's say shipping, could put some pressure on your margins? And when you are bidding now do you have some closes or index closes on the pricing? Thank you. 
Sophie Zurquiyah: Yes. Thank you for your question and good evening. In terms of the revenue sequence for SMO as mentioned -- I mentioned it will be building through the year. So we really started low and we're going to gradually increase the revenue. But I mentioned also that the manufacturing plans that we are doing -- we're delivering right now has been launched way into -- way last year. And we're pretty much confident that we'll be able to deliver everything that's in our manufacturing plan. So we don't expect to see any disturbances from our ability to deliver. In terms of price of escalation cost it's not that significant because pretty much everything we have in our manufacturing plan this year has been locked down -- locked in terms of price a year ago. So we'll see some a bit of inflation but very, very minor. And we are definitely starting to increase prices to be able to pass. So it's not like there is an escalation clause or whatever. We have a price. And then we -- as we see cost increase when we're bidding on proposals, we're just increasing prices. So we're definitely monitoring the situation in terms of the cost and pricing. Now, I think, we'll see a little bit more inflation into next year. As we're starting to secure our supplies for 2023, we're seeing some levels of inflation. But keep in mind also that the it's -- some parts of it is increasing a lot like for example steel and some raw materials are increasing a lot but others are not so much. And so when it becomes all in the mix it's not that much of a significant cost increase in the end of the day. So this is something we believe we can manage. That's a good question. 
Unidentified Analyst: Thank you very much.
Sophie Zurquiyah: Sure. Next question?
Operator: There seems to be no further questions at this time. Please continue. 
Sophie Zurquiyah: Great. Well, I think, we're done for tonight. Thank you very much. Appreciate the great questions and the easy and the difficult ones. So I wish you all a great evening and hope to talk to you soon. Thank you. 
Yuri Baidoukov: Thank you everybody. Goodbye.